Operator: Greetings, welcome to L3 Harris Technologies, Third Quarter Calendar Year 2021, earnings call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instruction]. As a reminder, this call is being recorded. It is now my pleasure to introduce your host, Rajeev Lalwani, Vice President Investor Relations. Thank you. You may begin.
Rajeev Lalwani: Thank you, Rob. Good morning and welcome to our Third Quarter 2021 earnings call. On the call with me today are Chris Kubasik, our CEO, and Jay Malave, our CFO. First, a few words on Forward-looking statements and non-GAAP measures. Forward-looking statements involve risks, assumptions, and uncertainties that could cause actual results to differ materially. For more information, please see our press release presentation and SEC filings. Reconciliation of non-GAAP financial measures to comparable GAAP measures is included in the Investor Relations section of our website, which is l3harris.com, where a replay of this call will also be available. With that, Chris, I'll turn it over to you.
Chris Kubasik: Okay. Thank you, Rajiv. And good morning, everyone. As you've seen throughout the week, no Company is immune, including L3Harris to global supply chain pressures, a risk we highlighted at the last earnings call. In recent months, shortages of electronic components began adversely impacting our Company at a time when our product is strong. Our updated full-year guidance now accounts for these impacts. We revised our organic revenue growth expectations to approximately 2%, primarily due to delays for these components weighing on the CS segment. [Indiscernible] such delays, we would have comfortably been within our prior 3% to 5% range. Ultimately, this is a timing shift with no anticipated effect on our industry best market position for radios.  And with our broad and diversified portfolio, along with continued execution elsewhere, especially on the margin front we've increased our range on EPS to $12.85 to $13 per share, and still expect to deliver free cash flow per share of around $14, up double-digit on both accounts. Shifting over to the third quarter, following organic revenue growth of 6% in the second quarter, we saw a decline of 1% due to timing associated with supply chain delays at CES and an ISR aircraft awarded IMS. While I'm disappointed by the soft top-line results, I'll note that the order momentum remains strong with a book-to-bill of 1.07 and we delivered record high margins at 19.6%. EPS was $3.21 up 13% versus the prior year with solid free cash flow of 673 million that contributed to shareholder returns of 1.5 billion in the quarter.  Our execution against the Company's strategy priorities have been a key factor and value creation for all stakeholders, In spite of the pandemic. And we make progress in the quarter by advancing top-line opportunities, improving operational performance, wrapping up portfolio shaping, and returning capital to our owners. Starting with the top line, the revenue declined and the quarter fell short of our internal targets, largely due to 2 timing factors. At CES, the global electronic component shortage has led to a supply chain disruption for our product and electronics focused businesses, notably tactical communications. In the third quarter, the impact was nearly a $100 million or approximately 2 points of revenue.  And in the fourth quarter, our expectation is for the backlog of unfilled orders to grow, and all told we foresee a roughly $250 million to $300 million revenue impact for the year, implying another step-down in the fourth quarter. This is the primary driver of our revenue guidance adjustment at CES. Having said that, we do not anticipate any impact to our bookings, nor our win rates, and expect the segment to end the year with a book-to-bill well over one times. In addition, despite the supply chain challenges we faced in Q3 and ongoing headwinds, we were able to meet delivery requirements on all of our key U.S. DoD modernization programs, and are on track to continue to do so in the fourth quarter, including deliveries on the recently awarded HMS full rate production contract with the U.S. Army.  Second, in IMS we had a follow on ISR aircraft order with a NATO customer that booked to late in the quarter, causing revenues to slip to Q4, representing roughly a 2.5 shift between quarters. While the supply chain headwinds is limit upside opportunities to our revenues for this year, I have been pleased with the team's traction against our strategy of delivering end-to-end solutions to global militaries as a trusted disruptor across all domains. And it's reflected in our order activity and operational milestones. Within the space domain on the classified side, we continue to advance our responsive and exquisite satellite business with several earlier-stage awards, both with the intel Community and DoD, which have follow-on opportunities of nearly $2 billion.  And on the unclassified side, following the imager award in Q2, NOAA is progressing on the recapitalization of its geo weather satellite system and awarded us a study contract for a sounder payload as part of a $3 billion opportunity over the next decade. On the operational front, we completed the preliminary design review in the development of the missile tracking satellite prototype for the Space Development Agency, progressing towards a launch over the coming years, and reflecting yet another significant accomplishment for L3Harris. Moving to the air domain, key awards within the quarter spanned both legacy and next-generation aircraft.  On the B52, we received a 10-year $1 billion IDIQ that has the potential to expand our scope on the program to include EW hardware upgrades such as radar warning receivers, building on our existing software sustainment work. In addition on the international front, we were awarded an initial a $100 million contract to provide capabilities on 12 multi-mission aircraft for the UAE with the potential to double these amounts further demonstrating the breadth of our ISR capabilities that range from turbo props to business jets, to large aircraft. And in the land domain, we were awarded several contracts with the U.S. Army to advance its modernization priorities.  Under the army H MS Program, we received over 200 million in awards for the manpack and leader radios, taking a majority share on both products. These are the first full rate production awards out of a multibillion -dollar IDIQ, and represents less than 15% of the acquisition objective, pointing to considerable runway ahead. We also want a majority share on the second program of record for the EM VGV program with $100 million order, setting us up to ramp production on the Army's next-generation field ready cargos. So we were three for three on strategically significant programs in the land domain this quarter. Within the maritime domain, the team continues to progress on the U.S. Navy Constellation Class frigate with follow-on awards for the next chipset of electrical propulsion and navigation systems as part of a several $100 million opportunity for L3Harris.  We're also awaiting decisions on 2 major prime awards over the coming months. One to provide Electro Optical infrared capabilities on a broad range of the U.S. Navy surface combatants and another with an international ally, highlighting our superior undersea censor capabilities. Both would expand our market reach in this domain. Operationally, the team delivered power conversion suite hardware as part of the Virginia Class block 5 upgrade and completed qualifications for a portion of the power distribution system on the Columbian Class, advancing the U.S. Navy's top priority. We also had a key award within our mission networks business.  We leveraged the air traffic management capabilities we provide to the FAA, winning a new international franchise with the Australian government to modernize the nation's air traffic control and surveillance networks. This program is an over $300 million opportunity, and strengthens L3Harris's long-standing relationship with Australia. Finally, we received a strategic award on the revenue synergy front as we signed a $130 million contract with a mid east customer to provide modernized, software-defined radios through a localized joint venture. And this customer channels synergy award opens the door to a long-term opportunity for up to 50,000 radios.  When combined with other orders in the quarter, revenue synergy awards to-date totaled roughly 900 million on a win rate that remains at 70%. For the pipeline of over $7 billion, these synergies will be a notable contributor to our top-line growth. This win supported, another strong quarter for a book-to-bill 1.07 and 1.06 times year-to-date, increasing our organic backlog to $21 billion. We're up 9% from last year and 4% year-to-date. This is validation of our internal investments in leading R&D spend, as well as confirmation of our alignment with government priorities. Shifting over to the outlook for budgets, we're pleased with the progress made on the FY22 defense spending bills that continue to prioritize near-peer threats, notwithstanding another CR.  To plus ups from the HASC, SaaS, and SAC-D along with steadiness from HAC -D, combined with recent global events provide a degree of comfort that we should expect stability in military spending over the coming years. And in my personal discussions with senior leadership of the administration and Congress, I have consistently heard of a growing need for innovative, resilient and affordable solutions which we're focused on providing. All-in-all, as we consider the trajectory of our top-line, we remain confident in our ability to deliver sustainable growth through our domestic positioning, revenue synergies, and international expansion that stem from a pipeline of opportunities well in excess of a $100 billion.  Pivoting the margin performance our team delivered a stellar quarter at 19.6%, the best post-merger results and an indication of the Company's potential over the next couple of years as we further build a culture of operational excellence. Our performance was the result of delivering another 15 million of incremental cost synergies, and we're well on track to hit our $350 million target. We continue to manage our overhead costs and drive our E3 program to more than offsetting supply chain headwinds. Due primarily to our year-to-date results, we now see margins for 2021 exceeding our prior expectation of 18.5% by 25 basis points. Beyond 2021, our E3 program will remain a key contributor to steady expansion in our operating margins, net of inflationary pressures.  This program is one of our key discriminators. And let me highlight just a couple of examples. First, is factory optimization that represents half of this opportunity set. Through streamlining and simplifying our manufacturing processes, be it from a redesign of a factory's layout or integrating automation tools, we can shorten cycle times, increase labor efficiency and continue to drive out costs. A great example is the pilot program at our Amityville facility in New York, where an augmented reality assembly aid that electronically displays and validates our processes helps reduce cycle time by 25% and higher first-pass yields by several points. And we're in the early stages of a strategy with a 3-year roll out ahead of us. The other half of our opportunity comes from the engineering excellence hand supply chain.  On the former, through the deployment of our digital ecosystem, front-loading our program activities, and enhancing training for our roughly 20,000 engineers and 1,500 program managers, we're able to increase commonality and better manage cost and schedule across the Company. These have been key with some of our standout wins within the Space domain, enabling a foray into missile defense, as well as with driving favorability in our EACs. On supply chain, the global disruption we've highlighted have been largely contained to about 15% of the Company, and are temporary in nature.  The focus we've had, be it on reducing the number of suppliers are leveraging our roughly $7.5 billion spend as an enterprise, remain in place with further opportunities. In the years ahead. Moving over to the portfolio, we put a bow on the post-merger shaping activities in the quarter and closed on the electron devices divestiture for $185 million, while announcing the sale of 2 small businesses with an AS for a combined 130 million, bringing total gross proceeds since the merger to $2.8 billion. And as we consider our portfolio moving forward, we'll be opportunistic with our balance sheet as a buyer and a seller, focusing on long-term growth and value creation.  Having said that, we don't see any gaps in the portfolio, nor is there any urgency at this time. Consistent with our prior commitments, proceeds from the divestitures will be part of our capital return program. Our expectation now is for buybacks to be roughly $3.6 billion this year versus our prior $3.4 billion. When combined with dividends, capital returns will be about $4.5 billion in 2021. So overall, I'm pleased with the L3Harris team's ability to execute against our strategic priorities and deliver bottom line results despite unanticipated setbacks. With that, I will hand it over to Jay.
Jay Malave: Thank you, Chris. And good morning, everyone. First and starting on Slide 4, I'll provide more detail on the quarter before I get into segment results and our updated outlook. In the quarter, organic revenue was down 1% lower than our internal expectations by about 4.5 points from the supply chain delays in ISR aircraft award timing. IMS and CES were down 3% and 5% respectively, and absentee impacts would've been up closer to the mid-single-digit range for both. The SAS segment was up 3% and led by strong growth in our responsive space business while AS was up 1%, including the benefit from recovery in commercial aerospace. Margins expanded 170 basis points to 19.6% with the most notable drivers being from E3 performance in cost management, which more than offset volume-related supply chain headwinds.  We exceeded our internal expectations by more than a 100 basis points from favorable mix related to award timing and strong E3 performance. The team continues to drive margin upside by delivering an E3 improvements that lead to outperformance in scheduled milestones, costs, and retirement of risk. These drivers, along with our share repurchase activity, drove EPS up 13% or $0.37 to $3.21 as shown on Slide 5. Of this growth synergies and operations contributed $0.39. A lower share count contributed another $0.20, and pension and tax accounted for the remaining $0.08 then more than offset a $0.14 headwind from divested earnings and a $0.16 headwind from supply chain delays.  Free cash flow was $673 million and we ended the quarter steady with working capital days at 56. The supported robust shareholder returns of $1.5 billion comprised of 1.3 billion in share repurchases and $202 million in dividends. Now let's turn to slide 6 and discuss quarterly segment results. Integrated Mission Systems revenue was down 3% driven by follow-on ISR aircraft award timing from a NATO customer that would have contributed 8 points of growth for which revenue has now been booked in October. Revenue was also impacted by the expected timing of WESCAM turret deliveries from a completed facility move. By contrast, our maritime business grew in the mid-single digits from a ramp on key platforms, including the Constellation Class frigate and classified programs.  Operating income was up 4% and margins expanded a 110 basis points to 16.6% from operational excellence, integration benefits, and pension. Funded book-to-bill was 1.04 in the quarter, and 1.05 year-to-date with strength across the segment. In Space and Airborne Systems, revenue increased 3%, driven by double-digit growth in Space, primarily from our ramping missile defense and other responsive programs. The Space growth was more than offset from the production transition -- I'm sorry, the Space program more than offset headwinds from the production transition of the F-35 TR3 program with admission avionics, as well as program timing in Electronic Warfare and Intel and Cyber.  We expect an overall ramp in the quarter -- in the fourth quarter for the segment. Operating income was up 5%, and margins expanded 30 basis points to 18.8% as E3 performance, increased pension income, and integration benefits, more than offset higher R&D investments and mix impacts from growth programs such as in Space. [Indiscernible] to bill was about 1 for the quarter and 1.05 year-to-date, driven by responsive and other Space awards. Next, Communication Systems, organic revenue was down 5% due primarily to product delivery delays within tactical communications that stemmed from the global electronic component shortages, creating an approximately 8 point headwind year-over-year and versus expectations as well as lower volume for a legacy unmanned platforms and broadband due to the transition from permissive to contested operating environments.  In addition, the integrated vision and global communication solution businesses were impacted by delivery timing and contract roll-offs on international programs respectively. Conversely, our public safety business was up double-digits versus the prior year and sequentially a strong radio sales following the State of Florida Law Enforcement System Award in the prior quarter. Operating income decreased 1% and margins expanded 130 basis points to 26.3% from operational excellence, including program performance within broadband, favorable mix on public safety radios, and integration benefits that outweighed supply-chain impacts in higher R&D investments. And funded book-to-bill was above 1.1 for both the quarter and year-to-date from strong product bookings within Tactical Communications and integrated vision for monetization alongside key state level awards within public safety.  Finally, in aviation systems, organic revenue increased 1% by our commercial aerospace business that was up over 40% from recover and training and air transport OEM product sales. This growth was weighed down by flattish (ph) sales and mission networks, as well as lower fusing in ordinance systems volume due to contract roll-offs, along with delayed awards within defense aviation. Operating income decreased 13% primarily due to divestitures, while margins expanded a 140 basis points to 14.4% at expense management, the commercial aerospace recovery, and integration benefits more than offset divestiture related headwinds. And finally book-to-bill was 1.1 for the quarter and about 0.9 year-to-date.  Now shifting to our updated 2021 outlook. Organic revenue is now anticipated to be up about 2% with the difference versus our prior guard largely attributable to supply chain delays at the segment level, we've maintained our sale s guides but for CES, where we now anticipate revenue to be down 2.5% to 4.5%. Versus a prior range of up 2.5% to 4.5%. This is largely due to the global supply chain disruptions, mainly within tactical communications that will now be down about 10% versus our prior view of up in the low to mid-single-digits. For the remaining segments, we expect IMS to be in the upper half of the range based on traction with international ISR aircraft while SCS will likely be around the midpoint and driven by growth within Space and Intel & Cyber. And at AS, we expect the segment to be at the lower end of the range due to guard timing slipping to the fourth-quarter within our classified business.  Buy and market, our U.S. government and commercial businesses are now expected to be flattish to up in the low single-digits, while our international businesses are expected to be up mid-single digits plus. This implies fourth quarter sales growth will be in the 1% to 2% range for the Company, which includes CS down in the mid-teens and our other segments up in the mid to high-single-digits on average. Turning to margins, we've raised our outlook to 18.75% from 18.5% due to performance to-date, E3 progress, and favorable mix from award timing. Margins will step back in the fourth quarter due to increased supply chain delays along with mix effects and new earlier stage programs, but still, strong progress for the full year.  From segment perspective, we've improved the outlook for each with CS above the prior midpoint of its range and IMS, SAS and AS above the top end of their prior ranges. On EPS, we're raising the lower end of the prior guide by $0.05 to $12.85 to $13 per share, reflecting 11% growth from 2020 at the midpoint. Delivering on our double-digit aspiration in spite of dilution from divestitures and supply chain headwinds, which otherwise would have put us at or above the top end. As shown on slide 11, the midpoint is now at 1293, that's $0.55 from improvement in operations in other items, including the release of contingencies, offset, additional divested earnings above $0.03 and $0.49 from supply chain delays.  As mentioned previously, we continue to expect about $0.15 of net dilution from divestitures. Moving to free cash flow, our guide of 2.8 to 2.9 remains intact. However, due to prior divestiture, headwinds and now supply chain delays of over a $150 million in the aggregate, we'll likely be toward the lower end. On working capital, we expect to end the year in the low 50s in terms of days, reflecting a 3 to 5 day sequential improvement in the fourth quarter. And Capex is now expected to be around $350 million, about $15 million lower versus the prior expectation, primarily from completed divestitures.  Lastly, our guidance now reflects approximately $3.6 billion in share repurchases, an increase of $200 million from our prior guide to account for net proceeds from recently closed divestitures. None of these puts and takes were in a position to deliver free cash flow per share in the double-digits in 2021. Okay, let me make a few comments on 2022. The L3Harris business fundamentals are sound and we continue to succeed in our strategy of moving up the value chain to capture more prime positions on core, and adjacent applications. Examples include our leadership positions in space missile tracking, ISR aircraft machinization, DOD, and international soldier modernization, undersea sensing, and cyber resiliency. These and others will lead to solid growth for the foreseeable future.  As we look specifically at 2022, we are expecting supply chain impacts to persist into the first half of next year with recovery starting in the back half. As visibility improves over the coming months, we will provide a more comprehensive update on these expectations in January. For now, we are expecting some of the shortfall to be covered by the end of next year and we'll monitor other watch items, including the timing of awards, vaccine mandates, and tax rules.  Having said that, we remain focused on delivering sustainable revenue growth, steady to rising margins, and leading cash flow conversion on a declining share count. So to sum it all up, we've managed the pandemic related headwinds for seventh straight quarter, and delivered strong bottom line performance, and remain on track to meet our commitments for the year and beyond in a dynamic environment. With that, Rob, let's open up the line for questions.
Operator: Thank you. We'll now be conducting a question-and-answer session. In the interest of time, we ask that you please limit yourselves to one single part question. If you'd like to ask a question please [Operator Instructions] is in the question queue. You may press [Operator Instructions] if you'd like to remove your question from the queue. For participants using speaker equipment, it maybe necessary to pick up your handset before pressing the star keys. One moment, please, while we poll for questions. Thank you, our first question is from Sheila Kahyaoglu with Jefferies. Please proceed with your questions.
Sheila Kahyaoglu: Good morning, Jay and Rajeev. Jay, you baited us rest right there so I have to ask, in terms of the rethink guides we saw from peers in both supply chain issues and program headwinds they noted, how are you guys thinking about 2022 revenue growth specifics on the multi-year revenue outlook just given you've previously talked about mid-single digits and now peers are calling for flat-to-low single-digit growth.
Chris Kubasik: Good morning, Sheila It's Chris, I think let me make a couple of comments and then I'll lateral it over to Jay. And I think you said it, right. This is clearly the key question for the week. So I want to go back probably three years when we were talking about the strategic rationale for the merger. And there were 2 items of note and I want to go back and reinforce. And 1 was the complementary nature of the 2 businesses. And after the merger, how we're well-positioned in all 5 domains. So when you look at the threat environment which changes on a regular basis, you look about and read a lot about China. I mean, our positioning in space and maritime, I think puts us in a good position to support the war fighter.  Our Cyber capabilities really are applicable not only in China, but all conflicts. I like what we've done in the air domain. While there's applicability in China, it also allows for situational awareness globally. And I think that's critical as we look beyond just the China threat. And the land domain is still a key part of our national security strategy, especially with the focus on resilient comms. So I like the fact that we're well-positioned in all these domains, and I think you see that reflected in our results and we're going to tell you a little bit about 2022. The other one was the revenue synergies. And again, like most of the goals that we set on this merger, we're ahead of schedule. And as I said just a few minutes ago, $900 million of orders earlier than we thought, and I think there's a lot more to come.  So the framework that we laid out 3 years ago, and I've talked about each year remains the same. We think we're well-positioned with the DOD and all domains. We have a great revenue synergy, opportunity and process. And our international growth has been the bright spot over the last couple of years. So, as you would expect, we're going through our strategic planning process. As of today, I see all 4 segments growing in 2022, with the overall Company coming in in the low to mid-single digits on an organic growth basis. We'll obviously give you more details in January. But let me hand it over to Jay to maybe give you more detail by sector and also emphasize the 800 million of headwinds as a result of divestitures when you're doing your comparison. So Jay.
Jay Malave: Sure. Thanks, Chris. And just to follow up on that and maybe just a little bit more color on next year when you think about low to mid-single-digit framework for next year. What I'll do is I'll maybe just take you around the horn of our segments. And I think Chris said it well, as far as broad growth across the portfolio. I'll start with IMS. And this year, we had a guide of 4-6, we've said it will be probably towards the upper end this year. And we see a lot of the same going into 2022 that we've seen here in 2021. The ISR business has been a strong grower force behind the back of international aircraft mechanization. We will see fewer aircraft procurement inputs next year, but that will be more than offset by the ramp in actual throughput related to mechanization in aircraft.  You may recall that Chris, in the second quarter call, talked about 19 aircraft in various stages of mechanization, so that will be a source of growth for that business. And that business can certainly deliver loaded mid-single-digit growth next year, if not more. On the EO business within IMS, Chris mentioned a few awards Electro Optical sensors for the Navy. We're bullish on that, that will be a source of growth for us next year. And again, very capable of being able to deliver low-to-mid-single digit next year and a final business with an IMS is Maritime. Maritime has had a strong record over the -- really since the merger. And we see more of the same there as well. We talk about the Constellation Class frigate.  We've won some awards on the classified undersea sensors, and we continue to expand our capabilities and applications in maritime and we expect that to deliver to frankly mid to high-single-digit growth next year. And so when you look at that segment in total, it's very well-positioned to do a low to mid-single-digit if not more. When you look at space in Air Boeing systems, very similar. We continue to expect space to grow as it did this year. And so you would see something in the -- maybe in the range of mid-to-high single-digits growth there. Same thing with Intel & Cyber. We continue to see growth and demand in declassified areas of both of those businesses.  That will be tempered a bit by our airborne businesses we've seen this year that the transition, particularly mission avionics and on the F-35 from development to production, we'll see that again next year, as well as some program transitions on the electronic warfare, particularly in the F16 program. But nonetheless, even with a flattish to slightly down business in the airborne, we'll see Space and Intel carry that segment forward, very easily, being able to deliver something like in the low to mid-single digits. And I'll go next to maybe AS, and the remaining businesses that we have there. The commercial aero business has moved pretty much in line with the commercial aerospace industry.  We continue to expect our traffic growth next year and we expect that business to grow in line with that. You can expect to see some double-digit growth in that business. Mission networks, Chris mentioned the Australia award that will be a source of growth for us next year. And again, really in the low to mid-single-digit range there. And in our Defense Aviation, it's seeing a little bit of delays related to war timing. But even with a flat projection for next year, that business can deliver -- the segment can deliver low-to-mid-single-digit growth. And then finally CS. And we've talked about SATCOM the supply chain pressures there. This year that that business will be. Now about 10.  And we see if we think about SATCOM, we expect growth even next year off the lower base that we have this year. This year we're going to be impacted in the third and the fourth quarter. We expect to be impacted again in the first and second quarter, we recover the back half. With that recovering the back half, we believe that business can grow in that low to mid-single-digit baseline from this year. And it's really similar with the BCS business, our broadband business, our integrated vision solutions business, and PSPC, which will also just benefit from industry recovery. And so as Chris mentioned, again, I'll close with that.  We really see a broad-based growth in a low to mid-single-digit initial framework is the right way to look at it, really across the portfolio. One last thing, Chris mentioned about $800 million. On a reported basis, we'll see about $800 million of revenue headwind due to the divestitures of next year. But again, starting with the organic, really low-to-mid-single-digit is probably the best place for us to be until we solidify our expectations and we'll do that in January for you. Hopefully that went around the horn and gave you some color within each of the segments, and really give you the source of why we feel confident in our gaining confidence and our ability to deliver that type of growth.
Operator: Your next question comes from the line of Robert Stallard with Vertical Research. Please proceed with your question.
Robert Stallard: Thanks so much. Good morning.
Chris Kubasik: Good morning.
Jay Malave: Good morning.
Robert Stallard: Thanks for that detail, Jay, that was very helpful. The question I have though is around supply chain, also facing a few issues at the moment. I was wondering what your plans are to mitigate these pressures over the next say 6, 12 months and what the implications could be for say your revenues and margins? Thanks so much.
Chris Kubasik: Alright. Thanks, Rob. Let me kick it off and, again, Jay will give you some more details on the numbers. I think it really hit as we were preparing for this call the last few days when Jay said that we've been through 7 quarters of the pandemic. I mean, it's probably been a blur for all of us, but we really started back in February of 2020 focusing on the supply chain challenge. Just eight months after we closed the merger, we set up our COVID war room and the real focus there was on the first tier suppliers that we had in the Far East. Obviously, since then we've learned a lot about the second, third, fourth tier suppliers and some of the risks in the chain and the resiliency.  So I just want to acknowledge that this is something we've looked at for 7 quarters. Of course, we shifted and as I would say, we always focus on the supply chain, we added in remote working, the IT connections, vaccines, all the challenges that we've gone through in the pandemic. So it's been a little bit of a roller coaster, but the key is then getting our systems consolidated from the merger, getting data, getting visibility, and all of that is improved over the last several quarters. So I think that's what gives us confidence to make some of the projections and talk in a little more detail today. Back in early August, we were probably feeling much better about the year and, you know, August was the high point for the Delta variant spiking around the globe.  And that really threw the delays that we're seeing for the rest of the year. So we're assuming in our baseline is a 12-month delay. Until things get back to normal with the supply chain. I know there's different time-frames out there but that's kind of the baseline that we're focused on. I will mention as a defense contractor, we have the benefit of what's known as D - pass ratings, which are the defense priorities in allocation system. And that's something we've been focused on the last several quarters. And even on the other end of it, the supply chain, a lot of our suppliers are aware of this and are still putting in systems and implementing it. But they've been very supportive in prioritizing our defense products. And I think that's given us a little more confidence and visibility. But that is kind of an overview. I'll ask Jay to maybe give you some of the details on the numbers.
Jay Malave: Sure. Just maybe a couple of other items that we're pretty focused on, Rob. Obviously, I think we're probably no different than others in terms of making longer term commitments, our 12, 18, 24 months in certain cases. We've redeployed resources to make sure we're managing this at lower tiers in the electronic component value chain. And we speak secure alternative sources as well as alternative parts and qualify them. We were redesigning parts in products and electronic components to really ensure that we can have adequate sources supply going into next year. And we're making crop progress across each of these areas, which again is why we're gaining confidence that we'll be able to grow in this business next year.  As far as supply chain specifically, supply-chain escalation is certainly going to be a cost for us when we think about 2022. Right now the I'm thinking about is about 25 basis points of margin pressure associated with escalation costs. I would say that that's something that we were considering, that's something that we've got baked in, and that's something that will be part of our plans to deliver on our E3 productivity. Our goal will be as it always is, to offset the headwinds from mix, as well as supply chain, and deliver at least flat margins, if not higher. The next year will be no different. The pressure is going to be a little bit higher but nonetheless, we believe that we're going to have a solid path to be able to offset it.
Robert Stallard: Thank you.
Operator: Our next question is coming from the line of Seth Seifman with J.P Morgan, please proceed with your question.
Seth Seifman: Thanks very much. Good morning, everyone. I guess if I could slip in 2 quick ones here either for Chris or Jay. If you could just address maybe cash-flow next year, your $3 billion target and thoughts on cash flow, growth per share thereafter. And then maybe Jay, the guidance for the integration costs kind of stepping up. It seems to imply a fairly high level in the fourth quarter relative to what we've seen in the past. So maybe what's driving that at this point and where those go from here on out. Thanks.
Chris Kubasik: Okay. I'll maybe take in a reverse order. On the integration costs, we actually saw a step up here in the third quarter. We'll see a little bit higher again here in the fourth quarter. It's really mainly due to two things. One is as we work through our facility consolidations, we've seen an uptick in costs. We expect to see continued spending in that area, probably through the mid-year, next year as we complete those factory consolidations. The other element is a really IT harmonization. We've talked a lot about harmonizing our ERP systems. There were just various systems beyond just our ERPs. We've been working through and incurring the cost on related to integration. That will carry over, I would expect it to next year as well. Some for a period of time again, probably through the first 6 months.
Jay Malave: And your question on $3 billion of free cash flow, for us to the formula really remains the same. We need to deliver annually, I'm including next year, about 3 to 4 days reduction in working capital. And that will offset the growth that otherwise would take place in working capital from just increased use of assets. And so we're able to do that. We should be able to at least hold the working capital flat if not become a source of income, or source of cash flow and then we can have that added to drag drop-through of net income. And so really remains the same as far as our working capital. When you go back and look, we've got we ended the quarter at 56 days. We've got seven sectors who are above that average, which comprises about 2/3 of our working capital. A lot of that is sitting in inventory, and we've talked about this in the past. And we're really, you know, again, it's just blocking and tackling, focusing on fundamentals as far as inventory reduction. This include things like just ensure that we execute against our program milestones. We're synchronizing our forecasting and planning with our supply chain.  We'll continue to work and Chris mentioned it on cycle time reductions in automations in the factory, as well as just negotiating better turns of our contracts, getting more advances where we're looking maybe compare to some of our other peers. Their percentage of advance is a little bit higher than ours, and so that creates an opportunity for us to ensure that we can match cash receipts with cash disbursements on the inventory side. So we're opportunity rich here, 2/3 of our working capital is prime for us to continue to work down. We feel good about that. And look from a free cash flow per share, we're very confident in double-digit growth there for the foreseeable future.
Chris Kubasik: [Indiscernible] in real quick on the integration costs. With the pandemic, we stayed agile and made some changes to strategies. And I'll just say in the IT world, we have laid out an architecture. And with the need for remote work and hybrid work, we re-prioritized and made some changes which caused us to accelerate some of our expenditures in Q3, Q4. Same thing applied to supply chain.  We had a whole strategy and one of those was to hit the end of '22, start investing in the risk dashboard to give us more visibility into our supply chain and identified risks. You've seen publicly available data, whether it's stuff such as wildfires or financial stability in the supply chain. We obviously accelerated that into this year, rolling that out in Q3 and Q4. So some of those things seem to make business sense to increase the cost and accelerate the expenditures based on what was going on.
Operator: Our next question comes from the line of Richard Safran with Shapiro Research. Please proceed with your question.
Richard Safran: Chris, Jay, Rajeev. Good morning. I wanted to ask you about 2 of your programs, if I may. First, that recent GAO decision on the next-gen jammer. I'm curious as to what happens now, f you think the program gets re-competed, do you think changes are made to the program? And the second program I'd like to ask you about is the F-35. We had some long-term guidance come from Lockheed this week. I was just curious if you could discuss a bit how you think that might impact you, where that was relative to expectations, that sort of thing.
Chris Kubasik: Yeah, sure. Rich. Good morning. Let me go with your next-gen jammer question. Just to refresh everyone's memory, we won that program back in December of 2020, almost a year ago. The Navy has affirmed 3 times their choice to select L3Harris, including most recently using an independent reviewer. There's been a lot of media, a lot of discussion on this. We were very proud of the fact that we were rated technically outstanding. And, you know, that's aligns with our strategy. And in the R&D investments that we've made and moving up the food chain, so I think we just let the process proceed. It's somewhere between Navy and Department of Justice and the other Company as to what they're going to do next.  But our team is ready. There was a stop work order put in place which is pretty standard. And whenever that's decided to be lifted we're ready to go, or whatever other legal actions occur. But again, we're very confident in our solution, as is the Navy as they continue to reaffirm their selection. We'll stand by and look forward to supporting the Warfighter when we can get started. F-35, I think we've talked about this on every call. Let me give you a quick update. We're obviously the key player on the F-35. We have a strong position on the platform, about $3 million per shipset. Our overall F-35 revenue is decreasing in '21, decreasing in '22, and then starts to grow again in '23.  That's really a result of the TR3 transition from development to production. And where that may differ a little bit from what you saw -- from the prime, is the fact that we'll be retrofitting several hundred aircrafts so that's what allows us to grow in '23 and beyond. Not only are we going forward with the new aircraft, we're also going to retrofit. And again, the main focus for us is the AMS, the Aircraft Memory System. We just completed safety of flight certifications so that was quite exciting. A lot of positive emails from Lockheed and the customers. So good progress on our AMS. The panoramic cockpit display is entering qualification testing.  And then of course, the integrated core processor is the most complex and, again, we're making progress there. Everybody understands the critical path. And as we've always said, the hard part is ahead of us here as the integration testing is going on. So I think, as I've said the last several quarters, the teamwork is much better than I've ever seen. Everybody is aligned, everybody understands the goals, the challenges, and the critical path, and we're honored to be on that platform and look forward to delivering on our commitment.
Operator: That's a question comes from the line of Gautam Khanna with Cowen and Company. Please proceed with your question.
Gautam Khanna: Yes. Thanks. Good morning, guys.
Chris Kubasik: Good morning.
Gautam Khanna: I was wondering if you could give us some color on the Tactical IRS backlog where it stands now, kind of the longer-term outlook in that business. I know you gave a view on 22, but just longer term. What do you have in the pipeline both domestically and foreign and give any color you can provide there. Thanks.
Chris Kubasik: Yeah. Let me take a first shot at this one. Well, first of all, we have a record backlog of $1.2 billion, and that's the best we had in the past 10 years. So relative to that, there is no issue relative to demand, and book-to-bill in the quarter was 1.7 in year to date, we're almost at 1.2, so there is absolutely 0 issue with the demand. I highlighted some of the significant wins that we had recently with the army. You're well aware of those large, high IDIQs and how there is a lot of runway to go relative to those. So we're feeling really good on the demand and the outlook. We're going to see growth in '22 internationally. I think there continues to be lots of interest for this year. Asia-Pacific region and Central and Latin America are growing. Europe and the Mid East is a little flat, but as we look further out in '23 and beyond, I see that trend switching.  I think Jay did a good job, just of highlighting it. We look like -- we do about -- if I go back to 2020, we're doing about $450 million, roughly, per quarter in revenue. In '21, the first 2 quarters, due to our growth, we were closer to $475 million. Third quarter, we came in at $400 million and the fourth quarter probably going to be in that $300 million to $400 million range depending on supply chain. I see that trend continuing for the first 2 quarters of next year. The 300 to 400 range, and then maybe ramping up to 500 plus for the second half of 22 and the first two quarters of '23 will make up for the shortfall. So I'm trying to give you some color there based on what we see in backlog and the opportunities that we have around the globe. I don't know Jay if there's more.
Jay Malave: Yeah. Maybe just a little bit. Chris mentioned, I think in his remarks as well as far as a Middle East customer. What we have here, these are $1 billion plus type opportunities with this Middle East customer as well as the U.K. and Australia. And what we've been able to do in each case is when front-end type of contracts. And so right now with this particular country we won about 5,000 radios, that could be potential up to 50,000 radios over a number of years. And so being on the front end will position us well for that longer-term opportunity. The same thing goes with the U.K. We just want an opportunity to do tech refresh on current radios. Net positions as well, for what could be it also another opportunity of 50,000 radios, billion-dollar plus program.  If similarly, Australia you're looking at potentially 35,000 radios. In our ballpark, we also want an opportunity there to do some crypto monetization on installed base. And so winning these early awards puts us in positions j us t very well for these long-term large programs in each of these countries, we've got a DoD opportunity coming up on either this quarter or next quarter with the marine corps. We feel confident in our positioning there and our products offering for that. And so we're confident and bullish about the opportunities for the Tactical Radio business going forward in our positioning as well.
Operator: Our next question is from the line of Kristine Liwag with Morgan Stanley. Please proceed with your question.
Kristine Liwag: Hey. Good morning, guys.
Chris Kubasik: Good morning.
Kristine Liwag: Chris, segment margins were 19.5% in the quarter. Rounding, you're at that 20% margin you've been targeting, but your full-year 2021 guide implies a step-down in 4Q. Can you provide more details on the puts and takes and how we should think about margins going into 2022? I know it's too early for a 2022 guide, but is 20% a 4?
Chris Kubasik: Good to see on a Friday. Nobody's lost their sense of humor. Now I said earlier, everything related to the merger is going to go on quicker and better than maybe anyone had expected or planned. And we've talked about a 25 basis point increase year-over-year. So the way I look at it is we're a year or 2 ahead of that target. And the goal for '22 and beyond will be to, at a minimum maintain these margins, but look for ways to increase it. I mean, some of the things that contributed, and I'll let Jay give you more details on Q3. We've really been focusing on our discretionary spend the SG&A. I think this was one of our lower quarters since the merger as a percent of revenue. We continue to invest in the irad at about 4% of revenue, which I think has been positioned us for this growth that we talked about going forward. And these -- the mix from these new awards -- talked about some of these awards being delayed.  I think, you know, most of these new awards initially are dilutive to margins as you win, especially if there are cost plus or even if they're fixed price, just being conservative so -- but those slipping to Q4. I think that accounts for some of the shift between the 2 quarters, but we look at it on an annual basis, and year-over-year progress is looking good. And we're not going to give up, and we're going to continue with our E3 initiatives. The E3 focus is really what's making the difference. And I tried to highlight some of the things we're doing relative to labor productivity. We're using collaborative robots and augmented reality and some interesting technology that's just going to get our products to market quicker.  We talked about the supply chain and some of the things we're doing there, value-engineering, more and more focused on making our products even more manufacturable, we talked about designing for manufacture, design for supply chain. All those initiatives are ongoing and getting better each and every time, so I don't have [Indiscernible]. Further color you want to give?
Jay Malave: Yeah. Just on Q4, as you mentioned, we will see some just newer awards which have lower margins on it. And then the Tactile Communication business steps down in Q4, so I'll put pressure on the margins from a business mix perspective. And so that's really the driver for Q4.
Operator: Our next question comes from the line of Doug Harned with Bernstein. Please proceed with your question.
Doug Harned: Good morning. Thank you.
Chris Kubasik: Good morning.
Jay Malave: Good morning.
Doug Harned: You've talked a lot about supply chain today and a lot of companies have lot of industrial companies, whether they are in defense and honest talked about it. But I'd like to -- what I wanted to understand is in -- supply chain issues have clearly held you back some in communication systems this year and you talked about the first half of next year. But unlike some commercial businesses, I wouldn't expect any of the deliveries and revenues that you were expecting to have gone away. And when you think forward, should we expect the snapback eventually here, where you've just, you've built up -- you've got building up of a backlog of demand and we should actually see what I would think of as a surge when we get into 2023, when you're finally delivering on things that have been delayed?
Chris Kubasik: Yeah. Now, Doug, that's great question. I think you hit it. I tried to maybe to subtly suggest that this is a timing impact. And I think you're absolutely right. What we're seeing is these deliveries basically being deferred or sliding to the right. About 25% of our business we forecast to demand, the rest we forecast to programs which is easier to do and less risky. So on the quick turn or the more product businesses you're forecasting demand, Jay mentioned we're now making commitments 12 to 18 months out versus a couple of months. It's in-advance like we used to in the past. So when you look at the supply chain challenges to the extensive if a product or something that we recognize revenue upon delivery, you're absolutely right. You will see that as a bow wave.  The majority of our Company, and I think the whole industry, uses a percent complete or over time accounting. So in that case, you're maybe not going to see the revenue hit, but what you are going to see is a potential delay in ultimately making a delivery, which maybe causes companies to miss their milestones, which could be pressure on billing and cash to the extent it's tied to a milestone event. So I think you're absolutely right. We view this as a delay and a deferral. I mentioned the ability to use the Deepak ratings to get our parts. And as I mentioned, we haven't missed any commitments relative to our contracts and that's something that's very important to all of us and we’ll continue to find ways to deliver to those commitments.  The revenue shortfall was our focus on over driving and challenging the team to get the year-over-year growth. But as far as the contracts we're tracking and we're in constant communication with all of our customers and they understand where we are. So I don't know if that helps you, Doug, but that's a long way of saying I agree with you.
Doug Harned: Yes. Doug. You got it exactly right. I mean, 2022 I mentioned it would grow. We'd love it to snap back in 2022, but that's unlikely, but we would expect that recovery to be in '23.
Operator: Thank you. Our final question comes from the line of Peter Arment with Baird. Please proceed with your question.
Peter Arment: Thanks. Good morning, Chris. And Chris, thanks for all the details on that kind of the progress we're making on E3, but kind of just tying back to your comments that you've been operating in 7 quarters in the pandemic that feel like eternity but did -- you set up the E3 program before the pandemic, did you get any kind of opportunities that evolved during the last 7 quarters where you think there is significantly more upside that you can do from the 350 million target that you put out there? Thanks.
Chris Kubasik: Now, Peter, the 350 target we threw out was the cost synergies from the merger. We'll be putting a bow on that here in the next few quarters, and we've over-driven the synergies that we laid out. Anything post the merger synergies will count towards the E3 program. I think we've learned a lot, as I've said, relative to the pandemic, how we do business. And I didn't really get to focus on International as an example. And it's still amazing to me that we're effectively double-digit on international growth. And it's probably the worst time ever to do business internationally during the pandemic, but I think we learned a lot as to how to better use our time. I've been on all sorts of Zoom calls at strange hours of the data to connect with customers. And if you have those prior relationships so it's still going to be beneficial to get on an airplane and see people face-to-face.  But I think we've been able to find a way to do business more effectively. We're going to have about 10% of the workforce working remotely permanently and have about 20% doing hybrid. So those are all new and different ways to do business. And we're excited about the future. Haven't less people in the facilities, we've been able to go ahead and make some of the changes or highlight it in the factory and go ahead with the -- some of the robots that we're using, some of these light guide tools. It's just easier to get those things done. Jay mentioned the facility consolidation. We probably lost a little bit of time, as you would imagine, due to the pandemic, no one being vaccinated, and the difficulty getting labor, but now we're picking that pace back up again. Yes, we see this as really being a differentiator, something that's in our DNA and something that everybody is engaged with. Thank you for the question, Peter. I guess with that, we'll just wrap it up for the day. Obviously, I'd like to recognize the 47,000 employees who were focused on delivering value for our stakeholders, and they continue to overcome the unprecedented challenges presented by the pandemic. Their resilience, combined with the many opportunities ahead, keep me, Jay, and the whole leadership team excited about the future of L3Harris. I thank you for joining the call, and look forward to talking to you again in January. Have a great week. Thanks.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.